Operator: Greetings. Welcome to the Atlanta Braves Holdings Third Quarter Earnings Call. [Operator Instructions]. As a reminder, this call is being recorded. At this time, I would like to turn the call over to Cameron Rudd, Vice President of Investor Relations.
Cameron Rudd: Before we begin, we'd like to remind everyone that on today's call, management's prepared remarks may contain forward-looking statements. Forward-looking statements address matters that are subject to risks and uncertainties that may cause actual results to differ from those discussed today. A number of factors could cause actual results to differ materially from those anticipated, including those set forth in the Risk Factors section of our annual and quarterly reports filed with the SEC. Forward-looking statements are based on current expectations, assumptions and beliefs as well as information available to us at this time and speak only as of the date they are made, and management undertakes no obligation to update publicly any of them in light of new information or future results. During this call, we will discuss certain non-GAAP financial measures, including adjusted OIBDA. The full definition of non-GAAP financial measures and reconciliations to the comparable GAAP financial measures are contained in the Form 10-Q and earnings press release available on the company's website. Now I'd like to turn the call over to Terry McGuirk, Chairman, President and CEO of Atlanta Braves Holdings.
Terence McGuirk: Thanks for joining the call today, and we appreciate your continued interest and support. In a rare year where we did not make the playoffs, the strength of our brand and the passion of our fans remain strong. That gives us great confidence as we enter the offseason and look ahead to 2026. We did have some notable highlights that will help build momentum going into next season. Rookie Drake Baldwin had a breakout season hitting 274 with 19 home runs and 80 RBIs. He became the first Braves' Catcher ever to debut as an opening day starter and then go on to win nationally Rookie of the month in May. Drake is now a top contender for Rookie of the Year, which is an exciting milestone for our organization. Chris Sale, despite dealing with a nonthrowing injury while covering first base remained one of the top performers in the league and achieved a major career milestone by becoming the fastest pitcher in MLB history to reach 2,500 strikeouts. He finished strong and is ready for 2026. Matt Olson showcased remarkable consistency and durability and became 1 of only 5 MLB players to appear in all 162 games. He led the team with a 6.1 WAR and ranked among MLB's top defensive first basement. And earlier this week, he was awarded a Gold Glove Award, his first as a Brave and third in his 10 season MLB career. He also represented the Braves in the Home Run Derby during the All-Star week here in his hometown. While our pitchers lost a lot of time due to injuries, it did give us an opportunity to see some of our young talent and how they perform and we were greatly encouraged by that. Newcomer, Hurston Waldrep, a 2023 first round pick out of Florida, seized the opportunity and ended up with a 6 and 1 record with a 2.8 ERA intense game started. You will likely see him again in 2026. Now that we're in the offseason and our focus is shifting towards our strategic priorities which include adding a couple of key players to a veteran win-now squad that has so many years of success ahead. Turning to our field manager position after 10 seasons, Brian Snitker transitioned from our manager to a senior adviser role. Brian led our team to a World Series championship in 2021 and has spent his entire career with our organization, 49 years and all. We are grateful for his dedication to our franchise, and we look forward to having him around to advise us on baseball matters into the future. This past Monday, Walt Weiss was named the 49th Manager in franchise history, after spending the previous 8 seasons as the club's Major League bench coach. Walt who previously served as a manager for the Colorado Rockies has twice been a World Series champion first as a player with the Oakland Athletics in '89 and then as a Braves' bench coach in 2021. He has been a part of the Braves organization for 11 seasons as both a player and coach. Since joining the staff, the Braves have made 7 postseason appearances, earned 6 National Leagues East Division titles and won the 2021 World Series. On the MLB front, there remains a lot of positivity on the broader state of baseball as we look to the 2026 season. Across Major League Baseball national viewership continues to grow, ESPN's MLB coverage is up roughly 21% year-over-year. TNT Sports is up 29% and MLB.TV consumption has grown by 24%. These trends further reinforce the growing engagement across the sport and underscore the strength of baseball's fan connection. We continue to see positive momentum following the regular season, including the highest postseason viewership since 2017 and an increase of 13% year-over-year. This all culminated in one of the most exciting World Series finishes in recent memory only a few days ago, which saw an extra innings come back in Game 7. Early indications have this as one of the highest-rated World Series games since 2017 with over 25 million fans tuning in to watch the finale. The global audience was on full display as well, welcoming millions of viewers from Japan and across Asia that coupled with our domestic audience, highlight the state of baseball, which is an exciting upwards trajectory. Total MLB attendance for 2025 exceeded 71 million fans, making the third consecutive year of growth for the first time in 18 years and reaffirming MLB's position as the most attended sports league in the world. This is a testament to America's favorite pastime, and the Braves Country continues to play a major role in that success. So what we're doing within this organization is truly unique, not only in baseball, but in all of professional sports. The continued momentum and strategic interplay between our baseball and real estate segments remains remarkable and really reflects the long-term vision that has set the Atlanta Braves organization apart. Most every sports organization is trying to emulate our success in combining a stadium environment with a large bustling mixed-use development. And with that, I'll turn the call over to Derek, who will discuss in more detail how our season has shaped up and share more on our outlook heading into next year.
Derek Schiller: Thanks, Terry. Although this season has brought its challenges, our team played their hearts out until the very end, and we're extremely proud of their achievements. The Atlanta Braves have a history of success on the field, and we remain focused and optimistic on returning to our winning ways and getting back to the postseason again next season. Despite the challenges on the field, we continue to provide great times for our fans and their families, and we accomplished a great deal as an organization. First, despite the inconsistent season on the field, we've navigated adverse feat to deliver record-breaking ticket sales and sponsorship revenue, underscoring the enduring strength of the Braves brand and the unwavering passion of our fans and partners. The Braves sold the fourth highest number of tickets in the past 25 years, highlighting both the depth of our fan base and the effectiveness of our sales and marketing strategies. Similarly, secondary market activity and ancillary revenues in retail and concessions remain strong, and our team remains disciplined and adaptive in driving demand and maintaining engagement. We also added and renovated several areas of the ballpark as part of a continuing innovation of the Gameday experience, which resulted in new and enhanced revenue streams. Lastly, we extended our partnership with FanDuel Sports Networks to include our first-ever direct-to-consumer streaming opportunity for fans. In addition, our new arrangement with Gray Media provided enhanced broadcast opportunities and more fans able to watch games in our territory. The result of the revised media approach resulted in strong ratings and allowed our entire Braves country television territory among the largest in sports to follow their favorite team. Ticketing remains a top priority for us as a meaningful driver of revenue, and we are proud to have our premium and full season ticket inventory sold out through the end of the season, our third straight year of doing so. While attendance moderated slightly in late August and September, primarily from lower single-game tickets, demand for season, group and hospitality package offerings remains robust. We sold out 24 games this year and had high record revenue from a number of those games. We sold over 2.9 million tickets in 2025, a level that puts the Braves inside the top 10 highest in MLB for the fifth consecutive year. As we transition into the offseason and begin the planning for next year, our team is still actively evaluating pricing and inventory strategies to further optimize our ticket mix. These changes will better optimize how we manage our ticketing process from start to finish, and we are hopeful that this will make a meaningful change in our operations. We remain committed to our growing and loyal fan base and are focused on enhancing the fan experience, including more innovative changes to the ballpark while driving continued growth around Truist Park and the Battery Atlanta. Elsewhere around Truist Park, we recently announced an extension with our incumbent food and beverage partner, industry-leading Delaware North for an additional 10 years beyond our current term. Over the last 10 years, we've worked with Delaware North to elevate the fan experience through high-quality, locally inspired food options. They share our vision of perfecting the ballpark classics, while also offering innovative food, beverage and premium hospitality and putting a creative Braves Country spin on fan favorites. I'm excited about this extension and expansion of our partnership which will enable us to further leverage Delaware North. As part of this renewal, we will also lean into Delaware North's restaurant and premium experience division, Patina, to provide best-in-class food options for every guest in the Battery Atlanta and Truist Park. In addition, our recent master planning projects completed throughout the end of the 24 season and into the start of the 25 season are performing particularly well, both in terms of generating significant additional revenue but importantly, further enhancing our fan experience here at the ballpark. This multiyear capital improvement process uses a proprietary ROI evaluation process to ensure successful implementation which drives both a better fan experience and, in most cases, more revenue to our top line. We have a truly unique fan experience on and off the field, and we continue to be grateful for the support we received from our fan base as well as our many corporate partners. Our park operates as much more than just the baseball field and including events already booked in the fourth quarter, we expect to host over 150 separate events this year within Truist Park. These events include conferences, corporate seminars, client entertainment and company celebrations, among others. Some use the field and some use our variety of premium and expanded facilities to create memorable events. In addition to the park itself, we held over 195 events in the Battery through the end of September, including movies on the lawn, concerts at the Roxy, Yoga mornings, 5Ks, farmer markets and more. We believe that our unique business model remains the gold standard across professional franchises, and we have seen countless organizations attempt to replicate what we have built here. This was on full display in this year's successful Major League Baseball All-Star week, where thousands of fans and industry executives from across the globe were able to see our entire project in action, many for the first time. This campus is not only home to thousands of employees, that work in the approximately 1.7 million square feet of office space we operate but a destination for millions of visitors who grace the Battery each year, which continues to grow. And with that, I will now turn the call over to Mike, who will provide an update on this growth and the developments within our extending and strong real estate portfolio.
Mike Plant: Thank you, Derek. As you all know, the Battery Atlanta were conceived to not just be a destination for Braves games, but a year-round lifestyle, entertainment and commercial campus built to complement and derisk the dependence on Gameday revenue. And now that we are outside of the baseball season, it's becoming more evident just how important this is to our organization. As Derek mentioned, we have hosted and activated 195 events at the Battery Atlanta, in addition to 81 baseball games through the end of September, including a variety of concerts and common airing events. Of this number, Roxy has held 72 concerts this year including 28 concerts in the third quarter alone. The total events hosted at the Roxy are expected to exceed 150 by year-end. As we head into the fourth quarter, we are looking forward to the Battery's presence in the community highlighted by our various holiday events. These events include our tree lighting ceremony as well as our New Year's Eve celebrations, which saw over 33,000 attendees across both events last year. I'm pleased to report that our mixed-use development revenue continues to perform well and represents approximately 11% of the company's total revenue year-to-date. Notably, in the third quarter of 2025, we saw an impressive 56% increase in mixed-use development revenue compared to the prior year period reaching $27 million driven by the performance of our recent acquisition, Pennant Park, strong leasing activity and enhanced tenant engagement. On a go-forward basis, we are now generating more than $100 million annually in revenue from our real estate holdings, an incredible achievement as we grew this from 0, less than only 8 years ago. One of the most significant moves this year was our strategic acquisition of Pennant Park. This acquisition greatly expanded our office footprint and brought significant leasable square footage to our existing 100% lease battery office space. We continue to receive incredible positive responses from the Pennant Park tenants since taking over the complex earlier this year. With relative minimum capital improvements, we anticipate Pennant Park being 90% leased by year-end, a substantial improvement from the sub-85% occupancy the building was at when we acquired it back in April. This is a testament to our team and brand as we attract top tenant profiles and companies who wish to partner with us and know the operational expertise we bring to our campus. Our purchase has reinvigorated the market in this area, we have seen the results of this catalyst and our existing tenants who continue to expand and extend as well as new tenants who are looking to work with us for the first time. Looking ahead, we will continue to focus on improving tenant experience and operational efficiency with amenities such as fitness centers, conference facilities enhanced security and recreational options that make our properties highly attractive. Our ability for tenant improvements allows us to further optimize our footprint. And as an example of this, we are excited to welcome J. Alexander's, a high-end American cuisine restaurant to the Battery next year, replacing the space of a tenant who was underperforming in their location. Additionally, our ongoing partnership with local and regional stakeholders ensures we maintain strong community ties and continue to position the Battery Atlanta as a premier destination. Elsewhere around our extended campus, The Henry development across from Truist Park is well underway as construction ramps up for the 2 tower complex, which will bring additional apartments, hotel rooms and condos adjacent to the Battery to be connected with a newly constructed pedestrian bridge. In closing, I want to thank our leasing, property management and development teams for their execution this quarter as well as the broader Braves organization for their support. The success of the Battery Atlanta is a testament to the vision of embedding a mixed-use destination adjacent to the stadium, and our Q3 results reflect that strategy bearing fruit. Our portfolio of high occupancy assets also brings a level of stability and certainty to the far more seasonal nature of baseball and our financials. We remain a beacon in the market and region for continued expansion opportunities, which allows us to be thoughtful about the best future for our campus. I'm proud of what we have done, and I'm excited for all that is to come. With that, I'll turn the call over to Jill to discuss our financial results in more detail.
Jill Robinson: Thanks, Mike. Before I begin, I want to remind everyone that a majority of our revenue is seasonal and is aligned to the baseball season. During the third quarter of 2025, we placed 41 home games. Despite on-field performance, we continue to be encouraged with our revenue growth. In the third quarter, total revenue was $312 million, up over 7% from $291 million in the third quarter of 2024. As a reminder, the company manages its business based on the following reportable segments, baseball and mixed-use development. Total baseball revenue was $284 million in the third quarter of 2025, up from $273 million in the third quarter of 2024. Baseball net revenue increased to $176 million during the third quarter of 2025 compared to $173 million during the corresponding period in the prior year primarily due to contractual rate increases on seasoned tickets and existing sponsorship contracts as well as new premium seating and sponsorship agreements, offset by attendance-related reductions in concessions revenue. Broadcasting revenue increased to $79 million in the third quarter of 2025 compared to $71 million during the corresponding period in the prior year due primarily to the impact of our renegotiated local rights agreement signed at the end of 2024. Next, our mixed-use development revenue was $27 million in the third quarter of 2025 up over 56% from $17 million in the third quarter of 2024. This was primarily driven by a $9 million increase in rental income, which includes revenue from our Pennant Park acquisition, and new lease commencements, including the Truist Securities building and to a lesser extent, sponsorship and parking revenue. Adjusted OIBDA was $67 million in the third quarter of 2025, an increase of over 113% from $31 million in the same period last year. This improvement was due to an increase in both baseball and mixed-use development revenue and a reduction in baseball operating costs partially offset by increases in mixed-use development operating costs and SG&A expenses. Baseball operating costs decreased primarily due to lower-than-expected Major League player salaries and variable concession and retail expenses. This decrease was partially offset by increases in MLB's revenue sharing plan, expenses for events held at Truist Park and Minor League-related expenses. Our operating income was $39 million in the third quarter of 2025, up from $6 million in the third quarter of 2024, primarily due to increased revenue. As of September 30, 2025, the company had $115 million of cash and cash equivalents. Nearly all of our cash and cash equivalents are invested in U.S. treasury securities other government securities or government guaranteed funds, AAA-rated money market funds and other highly rated financial and corporate debt instruments. As of September 30, 2025, we have $215 million of untapped liquidity in the form of 2 baseball revolvers, which we believe provides us flexibility for the future. And with that, operator, let's open the line for questions.
Operator: [Operator Instructions]. Our first question today comes from the line of Barton Crockett from Rosenblatt.
Barton Crockett: Okay. Great. And I guess 1 of the things I was just wanting to drill into a little bit is you mentioned you're doing some work on tickets and ticket pricing. And really, I think there's a little bit of interest from this from a number of quarters. And I was wondering if you could address a couple of things. One is, there's been some reports about some people having to pay much higher season pass prices. I just wonder if you could address just what's going on there? And just more generally, how should we think about kind of average kind of revenue per ticket trajectory for you guys in the upcoming season in 2026? And how do you guys think about kind of pricing in terms of your leverage and how you think about delivering incremental value relative to incremental pricing and whether kind of on-field performance has any kind of role in that or whether it's more kind of amenities driven?
Derek Schiller: Hi, Barton. It's Derek. Thanks for the question. Yes. So first off, that last part, yes, there is a relationship between team performance and ticketing and attendance. And we saw that a little bit. But I would remind you and everybody that our revenue is relatively stable and predictable. A substantial amount of our revenue is in -- whether it be a full season package or a premium seat, which, in many cases, most cases, is multiyear. So the commitment is longer term. So that's why we can predict what that revenue is going to be over a period of time. As it relates to the seasoned pricing, we, like all teams are studying what our pricing is each and every year and trying to understand what's the best pricing options than products that we can go into the marketplace with. Many years, we make changes to that. In some cases, we go up a little bit. In some cases, we go down a little bit. One of the important parts for us is that we have packages and offerings that are available at every price point. We're continuing to be proud of that. And so you might see certain packages that are well below $20 and on par would say, going out to a movie or something like that. And if you're interested in a premium offering, you can certainly pay more than that, but the amenities and the location and other things are going to be different. We are continuing to watch about how the average ticket price looks and how we compare, contrast with other teams across Major League Baseball or even in our marketplace. And I would still say there's room for growth in that while still protecting some of those lower price points as we talked about.
Barton Crockett: Okay. But is it reasonable to presume that there's going to be some inflation plus kind of growth in average revenue per ticket in the upcoming season as part of a base plan?
Matthew Harrigan: I think if you obviously, you, like others, have watched us and seen what's happened with the event revenues over the course of the past few years, number of years, our goal is going to be to continue to grow that because the cost of running a baseball team. In most cases, it doesn't go down every year. So we're trying to keep up with that and trying to make sure that we again have prices available for everybody. But I think it's fair to say we're continuing to monitor that. And also looking at how secondary ticketing continues to influence that. I think that's really important when you -- when we get the data from a secondary ticket, we understand not just what we sell the ticket at, but what the ticket ultimately gets sold at in the marketplace. That informs of what the supply and demand is, if you will, of that. And so what we've continued to see is that the secondary ticketing marketplace is very strong for our tickets has been for the past several years. And that does a really good job of helping us understand what we're capable of ultimately pricing our product at.
Barton Crockett: Okay. And then just 1 other kind of topic I wanted to ask about, and that is how to think about player salaries. Now that you've completed this season, and we've seen the Dodgers "run baseball" by winning 4 more games with a high kind of player salary. You guys are in a place of kind of maybe able to rethink how you approach the upcoming year. How would you think about kind of positioning player salary spending? I mean, is there any argument for a substantial change in your approach to what it's been historically? Or any thoughts about that as we look at the upcoming year?
Terence McGuirk: Barton, this is Terry McGuirk. Well, I won't comment on the expenses that the Los Angeles Dodgers had. But back to the Braves, we've always professed to try and be a leader in player compensation from a team standpoint. I think I've stated in the past that our goals are to be a top 5 salary team. We're currently a top 10 and haven't been out of that in quite some time out of that range. I think aiming back to the top 5 is a place that I want to get to. I think we're capable of doing that. This is a very fluid decision-making concept last year, as you've seen from our financials, we were below where we were the previous year -- previous year, but I think it's a good aspiration to get back to those goals in the coming year and years. And I think you'll see us quite active in the free agent market and the trade market. As I stated in my remarks, we're a win-now team we want to fill in the places where we might have players that need replacing. But the majority of the reason for last year was injuries, as we know and even back into the previous year. So everybody is back at full speed, except Smith-Shawver, who's coming back probably about midyear from Tommy John. So we're very, very optimistic about what the team looks like for next year.
Operator: Your next question comes from the line of Steven Sheeckutz from Citi.
Steven Sheeckutz: I just wanted to get your general thoughts on ESPN's appetite to take on some of the local media rights deals, both media rights and just the potential implications this might have for your next renewal cycle?
Terence McGuirk: So the next major national media deal for MLB is in -- is 1/1/29. And I do think that's going to be a major inflection point for the industry and the values created. Between now and then, I think MLB will be in lots of discussions with their teams with the 30 teams about how the best way to structure our offerings into the future. And we certainly know that local games rate, incredibly high compared to national games and that a component of that offering in '29 will include local games. And I think that will be very attractive to many like ESPN and to the entire digital streaming universe. And be assured that we're going to spend a lot of time in this rapidly evolving media environment, trying to tailor how we structure our offering to meet that contract term. And who knows what the media business will look like in 2035. And so it's very hard to say exactly how we'll structure today, but we'll be a lot closer to understanding that in as we lead into 1/1/29 when we have to make that deal. So we're -- it's a fluid set of decisions, and we will be ready to make those good decisions at that time.
Operator: And that concludes our question-and-answer session. I will now turn the call back over to management for closing remarks.
Derek Schiller: Well, on behalf of everybody here at the Atlanta Braves, we appreciate you listening in. Thank you and look forward to seeing you and talking to you next time around.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.